Operator: Good afternoon and welcome to Forestar’s First Quarter 2021 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Jessica Hansen, Vice President of Investor Relations for D.R. Horton, the majority shareholder of Forestar.
Jessica Hansen: Thank you, Paul. We welcome each of you to the call to discuss Forestar’s financial results and our apologies for the brief delay as our provider experienced some technical difficulties. Before we get started, today’s call may include comments that constitute forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Although Forestar believes any such statements are based on reasonable assumptions, there is no assurance that actual outcomes will not be materially different. All forward-looking statements are based upon information available to Forestar on the date of this conference call and Forestar does not undertake any obligation to publicly update or revise any forward-looking statements. Additional information about issues that could lead to material changes in performance is contained in Forestar’s 2020 Annual Report on Form 10-K, which is filed with the Securities and Exchange Commission. This afternoon’s earnings release is on Forestar’s website at investor.forestar.com and the 10-Q is planned to be filed mid next week. After this call, we will post an updated investor presentation to Forestar’s Investor Relations site under Events and Presentations for your reference. Now, I will turn the call over to Dan Bartok, CEO of Forestar.
Dan Bartok: Thank you, Jessica and good afternoon everyone. In addition to Jessica, I am pleased to be joined on the call today by Jim Allen, our Chief Financial Officer. I’d like to first give a shout out to the Forestar team. The size of our team has doubled than the last year during a time of social distancing and remote work. The team is working together well through the obstacles and is focused on achieving our lofty goals. Their strong belief in Forestar and our unique business plan has only been surpassed by their hard work and dedication to implement and execute our plan. We are off to a strong start for fiscal 2021. We continue to deliver on key milestones, which will create additional value for our shareholders. Our business is expanding rapidly and we are capitalizing on the strength of the residential finished lot market. We delivered more than 10,000 lots to homebuilders in fiscal 2020 and we are now on track to deliver over 13,500 lots in fiscal 2021. Executing our plan is translating into increased profitability. Our gross profit margin increased by 200 basis points year-over-year to 14.4% as a result of our intentional shift towards more Forestar sourced projects, less lot banking and the overall strength of the market. We are consolidating market share in the undercapitalized and fragmented lo development industry. Forestar’s lots sold to D.R. Horton continues to grow as a percentage of D.R. Horton’s closings year-over-year and our lot deliveries to third-party builders are at their highest level since the quarter of D.R. Horton’s acquisition of its interest in Forestar. We are executing on our returns focused business model and building upon the foundation which has been set. Our high turnover lower risk manufacturing strategy led to a 140 basis point year-over-year improvement in Forestar’s return on equity. We expect to generate further growth in profits and increases in returns in fiscal 2021 as our platform continues to gain scale and our team matures. I will now discuss our first quarter financial results in more detail. Jim?
Jim Allen: Thank you, Dan. In the first quarter, Forestar’s net income increased 30% to $22 million or $0.46 per diluted share compared to $16.9 million or $0.35 per diluted share in the prior year quarter. Forestar’s first quarter revenues increased 24% from the prior year quarter to $307.1 million. The prior year quarter included $30 million of revenues from residential track sales. Residential lots sold during the quarter totaled 3,567 lots, an increase of 47% from the prior year quarter. The average sales price for the quarter was $86,000. 87% of lots sold in the quarter were from development projects, up from 58% in the same quarter in the prior year. Lots sold to D.R. Horton during the quarter represented 95% of Forestar’s total lots sold, down from 99% in the first quarter of fiscal 2020. Dan?
Dan Bartok: Our pre-tax income for the quarter was $29.2 million with a pre-tax profit margin of 9.5%. Our gross profit margin was 14.4% in the first quarter, up 200 basis points from 12.4% in the prior year quarter. As I mentioned earlier, the improvement in gross margin was primarily due to an improvement in development lot sale margin, and to a lesser extent, a smaller percentage of lot banking deliveries during the quarter. We continue to expect fluctuations in our gross and pre-tax margins due to the quarterly mix of our lot deliveries and the timing of track sales. SG&A expense as a percentage of revenues in the first quarter was 5% compared to 4.2% in the prior year quarter. The increase in our SG&A expense ratio was primarily due to our increased number of employees and the associated compensation costs. We are extremely pleased with our progress building our team and now have 179 employees double our number of employees from a year ago. We remain focused on managing our SG&A efficiently, while building out our infrastructure to support our significant growth. And we believe we will continue to manage our business at an SG&A percentage significantly lower than most public homebuilders. We still expect our pre-tax profit margin to improve to approximately 10% for the full year of fiscal 2021. Jessica?
Jessica Hansen: Forestar’s underwriting criteria for new development projects includes the minimum 15% annual pre-tax return on inventory and a return of the initial cash investment within 36 months. During the first quarter, investments in lots, land and development totaled $480 million, of which $300 million was for land and $180 million was for land development. Forestar now expects to invest at least $1.5 billion in lots, land and development in fiscal 2021 subject to market conditions. Forestar’s lot position at December 31 increased 74% from a year ago to 77,500 lots, of which 52,300 lots are owned and 25,200 lots are controlled through purchase contracts. Of Forestar’s owned land position, 18,300 lots or 35% are under contract to sell to D.R. Horton representing at least $1.3 billion of future revenue. Another 16,600 or 32% of Forestar’s owned lots are subject to a right-of-first offer to D.R. Horton under the master supply agreement. 46% of Forestar’s owned lot position at December 31 was sourced by Forestar, up from 29% a year ago, supporting future gross margin expansion. Lots controlled through purchase contracts more than doubled from a year ago to 25,200 lots. Lot sales prices are not contracted for until Forestar owns the lots. So, Forestar has the potential to take advantage of the rising home price environment on the portion of its land position that is controlled through purchase contracts further supporting future gross margin expansion. Forestar continues to target a 3 to 4-year owned inventory of land in lots. Jim?
Jim Allen: Forestar remains focused on maintaining a strong balance sheet with ample liquidity and modest leverage. At December 31, we had $580 million of liquidity, including $240 million of unrestricted cash and $340 million of available capacity on our revolving credit facility. Total debt at December 31 was $654 million with no senior note maturities until fiscal 2024 and our net debt to capital ratio at quarter end was 31.8%. At December 31, stockholders’ equity was $893 million and our book value per share increased to $18.58, up 8% from a year ago. Dan?
Dan Bartok: Forestar is uniquely positioned to consolidate market share through housing market and then in economic cycles in the highly fragmented lot development industry. Based on our first quarter results and today’s market conditions, we now expect to deliver between 13,500 and 14,000 lots and to generate approximately $1.1 billion to $1.2 billion of revenue in fiscal 2021. Due to the timing of lot development schedules, we expect our lot deliveries in the second half of the year to be higher than the first half. As I mentioned earlier, we are still expecting our pre-tax profit margin for the full year of fiscal 2021 to be approximately 10%. At scale, we continue to expect our operating model to produce financial returns and returns that are similar to or better than most mid-cap homebuilders. Before we turn to questions, I would like to remind everyone of Forestar’s investment highlights. We have a unique lot manufacturing business model, very different than a typical land developer. We have no un-entitled land. We are focused on developing lots for affordably priced housing. We have an experienced management team that knows how to navigate through market cycles. We have a strong balance sheet and liquidity position with low net leverage. We are consistently profitable and are managing our business at an SG&A percentage significantly lower than most public homebuilders. And most importantly, we have a unique competitive advantage due to our relationship with D.R. Horton, which de-risks the expansion of our operating platform that allows us to have a national geographic footprint. To summarize, we are continuing to execute on our plan and are positioned for continued success. Paul, at this time, we would now open up the line for questions.
Operator: Thank you. [Operator Instructions] Thank you. Our first question comes from John Lovallo with Bank of America. Please proceed with your question.
John Lovallo: Hi, guys and thank you for taking my questions. First one and Dan, I think you partially answered this one already, but maybe just a little bit more color would be helpful. The 13,500 to 14,000 delivery range, you think that’s a high end would seem to imply sort of flat to sequentially down deliveries potentially through the remainder of the year. It seems like there might be a little bit of a timing issue in the second quarter. Is that the extent of it or is there anything else that we should be considering?
Dan Bartok: I think that’s pretty much the extent of it. I think the second quarter is really about the timing of lot deliveries. And as you can see, our trend for the end of the year would still be up.
Jessica Hansen: Yes, it’s really just lot development schedules that the lots are in the pipeline being developed, but they are not ready to all get pushed into the second quarter. Clearly the demand is there and so the back half of the year is expected to be stronger than the first half.
John Lovallo: Got it. Okay, that’s helpful. And then maybe just in terms of the competitive landscape for land, I mean, we are hearing more and more commentary from builders getting finished lots is becoming more and more challenging. And I think in the past, you have talked about sort of the 150 to 200 lot communities being where most of the competition is and you guys being sort of north of that has limited to competition. Is that still the case? Are you seeing incremental competition even for sort of the lots that you are looking for? 
Dan Bartok: Yes. I think you are starting to see the builders go up that scale a little bit as land prices have been increasing. We have been pretty fortunate that we had a pretty big pipeline of transactions that we have been working on for a long time, which you can see in our growth in lots here in this last quarter. Most of that is stuff that we have been working on for quite a long time. So yes, I am seeing the price of land go up and I am seeing builders start to chase a little bit bigger deals in the marketplace.
John Lovallo: Got it. Thank you very much guys.
Operator: Thank you. Our next question comes from Anthony Pettinari from Citi. Please proceed with your question.
Anthony Pettinari: Good afternoon. I was wondering if you could talk a little bit about how lot pricing discussions have been kind of trending in the current environment given rising home prices. And if you can talk about what level of pricing traction prefer lots not under contract, if there is any sort of color you can give on current trends?
Dan Bartok: Yes. Clearly, the demand for lots is at a high level right now. A good portion of the lots that we have are under contract already with D.R. Horton and also with some other builders. But as we are bringing new projects online without lot contracts, we are definitely seeing some appreciation in the lot prices. I think the market is very strong right now.
Jessica Hansen: And I don’t think we ended up mentioning in our scripted remarks, but Forestar recently closed on their second transaction with a third-party builder, so not only are they having success in controlling more land through purchase contracts and increasing the amount of their owned land position through what Forestar sourced is actually now closed on two third-party transactions.
Anthony Pettinari: Okay, that’s very helpful. And then you saw strong gross margin improvement on the mix up from I guess lot banking’s development projects. Is it possible to talk about how gross margins in each of those businesses kind of trend on a like-for-like basis and has kind of the ASP mix down that we have seen from builders? Should we think about that as a margin headwind? Is it margin neutral? Is it an opportunity? Just any thoughts there?
Dan Bartok: Well, first of all, I think with all the rest of the builders moving down market probably just has helped us, because we have been focused on that affordably priced products. So, I think there is just more people trying to play in the space that where we have product to sell. So I think that’s been a good thing for us. As far as gross margins, I think our focus has really been on trying to do more Forestar sourced transactions, where we control the land from Day 1 rather than getting an assignment from a builder for that first phase. So it’s I think continuing to show, I think some future growth in gross margins.
Jessica Hansen: Yes. And we haven’t specifically disclosed the breakdown between lot development margin and lot banking margin. But we have seen a list in both, particularly as some of the lot banking deals Forestar has held longer and so inherently since those are underwritten to a return to gross margins rising on that at the same time, but it is to a greater extent coming from the improvement in the lot development margin.
Anthony Pettinari: Okay, that’s very helpful. I will turn it over.
Operator: Thank you. Our next question comes from Ryan Gilbert with BTIG. Please proceed with your question.
Ryan Gilbert: Hi, thanks for the time everyone. Dan, I was hoping to just get a little color or maybe just if you could just dig in a little bit on the strength of the demand that you are seeing from your homebuilder customers and maybe how the level of activity that you are seeing so far in 2021 compares to this time last year pre-COVID and maybe any markets in particular that you want to highlight as particularly strong?
Dan Bartok: Ryan, I think in general, it is clear that there is a lot shortage out there. I think there is the phone is ringing constantly of people trying to get into lot positions that we control. And I’ve heard other builders comments on their calls, I haven’t really seen anything quite like it, to be honest with you, it’s been pretty phenomenal. It’s really across the board. There is very few markets that we are not seeing increased demand for lots and whether it be lots or whether it be our original business plan, but we were always focused on that affordably priced market and everybody has kind of jumped over there. So, it’s really kind of played well into our hands.
Jessica Hansen: Yes, Ryan. And I think we have put it in the press release for the first time and we mentioned it in the script, but although the majority of Forestar deliveries are still going to D.R. Horton, it did come down as a percentage of this quarter year-over-year and they sold 178 lots to builders other than Horton, which may not sound like a whole lot, but it’s up from 32 lots a year ago, so are making progress on that front.
Ryan Gilbert: Okay, that’s great. And maybe just to quickly follow-up there, how does that – that’s great to hear that you have signed your second deal with a third-party builder? How does the pipeline look generally as we go into the rest of 2021?
Dan Bartok: As far as third-party builders, is that your question?
Ryan Gilbert: Yes, yes.
Dan Bartok: Again, we put a lot more Forestar sourced deals on the – into the development phase. So I think you will continue to see a growth in sales of third-party builders and we are in probably more negotiations with builders as far as doing deals that they sourced and brought to us. So, I think you’ll continue to see that number trend upwards. But I think, as I said last quarter a second ago from 5% to 20% overnight, I think you will continue to see a gradual growth, because so much of our volume is going to go to Horton just based on the things that they have under contract right now.
Ryan Gilbert: Okay, got it. Just a quick one on the SG&A if you don’t mind, I think the sequential step up was a bit bigger than I had expected. And I am wondering if that’s – that $2.6 million sequential increase in SG&A is a good run-rate going forward or if there is something one-time in the quarter or just kind of a one-time step up and you might go back to more normal or the run rate that we saw in prior quarters?
Dan Bartok: I think it will probably go up from the prior quarter run rate, but I also don’t think it will be at the rate of this last step up. Again, although we are adding to our team, it’s also at the kind of middle management and support levels. So I don’t think that as we add headcount, you will see the same overall rate. We also opened several new offices. So you are now starting to see rents and things kick in for that that will be fixed over a period of time. 
Jessica Hansen: And Ryan to John’s earlier comment and conversation about volume and what that looks like for the year, SG&A always follows volume, right and the ability to leverage it or not. So, when you think about modeling the remainder of the year, would expect more significant SG&A leverage in the back half of the year and not as much in Q2 with potentially decreased volumes in Q2.
Ryan Gilbert: Got it. Okay, great. Thanks very much.
Operator: Thank you. Our next question comes from Michael Rehaut of JPMorgan. Please proceed with your question.
Unidentified Analyst: Hi, this is [indiscernible] on for Mike. First, I just was curious and so I missed this, but the mix of lot banking versus lot development projects this quarter was 87% being development projects. And I think for the remainder of the year, you had mentioned prior being sub 20% for lot banking projects, I was wondering if this is more of a new run rate to think about for the rest of the year?
Dan Bartok: Well, it’s hard to predict from quarter to quarter how that’s going to look, but I think that we are definitely going to be sub 20% and probably maybe even a little lower than that, but it will fluctuate from quarter to quarter.
Unidentified Analyst: Great. And then also I was curious on the gross margin expansion of 200 basis points and you mentioned that the majority of that was due to the lot development margin improvement. Within that, if you could just kind of breakout maybe what are some of the drivers there if it was just mostly it’s just the stronger market if it also was more for sourced lots or any color you could provide?
Dan Bartok: I think predominantly it is really based on the Forestar’s sourced lots. That’s really where we have better pricing power overall. Because generally, when we do that that builder source that first phase is locked in pricing. So we are not – we really don’t have any pricing power to hit the current market. So, I think it’s predominantly Forestar sourced transactions driving that expansion.
Unidentified Analyst: Great. Thanks. Just one more if I could squeeze it in, as I think about the growth in the business and still being strong in fiscal year ‘21, the closings growth being up 30% to 35% current year guidance. Any benchmarks or things to think about going forward in terms of what growth could look like in fiscal year ‘22 or beyond that or how you are thinking about growth beyond this year?
Dan Bartok: Well, I think from – we haven’t really given any guidance to that, but I think that with our current capital base, we can substantiate probably a 20% growth rate without any increase to our capital structure. So, I feel good about that as long as the market holds good and again, any expansion beyond that, as we have said before, we do look to tap the capital markets both in equity and debt at opportune times.
Unidentified Analyst: That’s very helpful. Thank you.
Operator: There are no further questions at this time. I would like to turn the floor back over to Dan Bartok for any closing comments.
Dan Bartok: Thank you, Paul and thanks to everyone on the Forestar team for your focus and hard work. We look forward to working together to continuing, growing and improving our operations over the coming years. We appreciate everyone’s time on the call today. I look forward to speaking with you again in April to share our second quarter results. Thank you.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation. Have a wonderful evening.